Operator: Good afternoon. My name is Tom, and I'll be your conference facilitator today. At this time I would like to welcome everyone to the Live Nation Entertainment Fourth Quarter and Full-Year 2017 Conference Call. Today's conference is being recorded. All lines have been placed on mute to present any background noise. After the speaker's remarks, there will be a question-and-answer period. Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements related to the company's anticipated financial performance, business prospects, new developments and similar matters. Please refer to Live Nation's SEC filings including the risk factors and cautionary statements included in the company's most recent filings on Form 10-K, 10-Q and 8-K for a description of risks and uncertainties that could impact the actual results. Live Nation will also refer to some non-GAAP measures on this call. In accordance to SEC Regulation G, Live Nation has provided a full reconciliation of the most comparable GAAP measures in their earnings release. The release reconciliations and other financial or statistical information to be discussed on this call can be found under the Investor Relations tab on investors.livenationentertainment.com. It is now my pleasure to turn the call over to Michael Rapino, President and Chief Executive Officer of Live Nation Entertainment. Please go ahead sir.
Michael Rapino - Live Nation Entertainment, Inc.: Good afternoon, and welcome to our fourth quarter and full-year 2017 conference call. I will make my comments today excluding the 2017 impacts of the $110 million legal settlement to keep our year-over-year numbers comparable. Live Nation delivered it's seventh consecutive year of record results Live Nation delivered its seventh consecutive year of record results. Revenue was up 24%, AOI up 15% and free cash flow was up 21%. All our divisions concerts, sponsorship, and ticketing delivered their strongest AOI results in the history of the company. We continue to see the tremendous power of live events with strong consumer demand and robust supply of new and established artists hitting the road from clubs to stadiums. Live is truly a unique entertainment form that cannot be duplicated and creates a lifetime memories that fans are craving for more than ever in this experienced economy. We believe the live business will continue to have strong growth for years to come as fans globally drive demand, artists are touring more, and sponsorship and ticketing benefit from the concerts flywheel. Live Nation continued to grow its global market share in 2017, adding 15 million fans globally for a total of almost 86 million fans, driving concerts revenue up 26% and AOI up 24%. Across all of the artists we work with, we invested $5.6 billion to promote 30,000 shows in 40 countries, with Live Nation by far the largest financial supporter of artists in music. Fans, more than ever, find the live experience from club shows to arenas to festivals, a top entertainment choice and the best way to celebrate their favorite artists and share the experience with other fans. In the U.S. alone, over the past 10 years consumer spending on experiences has grown $5 billion per year, and we believe this ongoing trend will continue driving a structural increase in demand for concerts globally. In 2017, we built our leadership position across our business, with double-digit fan growth in both North America and internationally, and across arenas, stadiums, festivals, theaters and clubs. In addition to growing our show count and attendance, our pricing and on-site initiatives also continued to grow our AOI. Average ticket prices for our shows increased by 5% in 2017, amounting to over $250 million as artists more effectively captured the true value from their shows. Once at the show, average per-fan spending grew as well. At our amphitheaters, spending grew by 9% to over $24 per head as we added more high-end products, improved the quality of our food and beverage and offered increased points of sale. The strength of our business is continuing into 2018 with confirmed arena, amphitheater and stadium shows through February 19 up 7% compared to this time last year. Overall, we expect a very strong year across our amphitheaters, arenas and festivals with some decline in stadiums on a year-over-year basis. Given our plans to further monetize our fan relationships, I expect this will translate into a continued strong growth in concerts AOI in 2018. In our sponsorship division, we grew our high-margin business 18% and AOI 13% in 2017. Throughout 2017 our top strategic sponsors have been a key driver of our growth, as our 50-plus sponsors that spend over $1 million per year, collectively spent $285 million to reach our fans, up 19% from last year. Sponsorship at our festivals grew 20%, this growth was driven by our new deals with brands including American Express, American Eagle, Samsung and Amazon Web Services. All this reinforces the power of our platform of 86 million fans, and the continued shift by brands to invest in the live experience. Our research indicates that 90% of brands think that Live Nation can help them reach millennials, and almost 70% of fans say they are more likely to be receptive to brand messaging at concerts. With over 70% of budgeted sponsorship revenue for the year already committed, we are confident we will again deliver double-digit AOI growth for this year. Ticketmaster continued growing its leadership in ticketing in 2017, with GTV up 15% and total platform GTV of $30 billion, delivering 500 million tickets to fans in 29 countries. This drove our 17% increase in ticketing revenue and AOI growth of 12%. The Ticketmaster platform continues to demonstrate its effectiveness in selling tickets to fans, with the fourth quarter being our top quarter ever, selling over 50 million fee-bearing tickets which delivered over $4 billion in GTV. Our number one priority at Ticketmaster in 2017 was building products to better serve the artist community. Music accounts for 80% of Ticketmaster's GTV growth in recent years, making it imperative for us to extend our focus from venues to those artists who are filling the venues. First among those product successes last year was Verified Fan, a key step in giving artists greater control of how their tickets are sold. Through the year, we worked with over 80 artists on Verified Fan, selling 3 million tickets and saving fans over $100 million relative to what they would have spent on the secondary market to buy these tickets. As we look to 2018, it will continue to be a top priority to evolve Verified Fan, while also building out a full suite of services that continue to give artists greater control of how their tickets are priced and distributed. At the same time, we've also continued to improve our marketplace, already by far the largest ticketing marketplace in the world. We remain focused on building the inventory available to fans, adding new clients and expanding our secondary listings. Adding third-party events enabled Ticketmaster in North America to increase by over 25% the number of events for which it sold in 2017, and further reinforced our marketplace as a one-stop solution for fans needing tickets. Ticketmaster continues to have success in 2018 as ticket sales are up 5% through February 19, positioning us for another year of growth. In 2017, we again delivered strong growth through our flywheel strategy, growing our global concerts business, and thereby driving growth in our high margin on-site, sponsorship and ticketing businesses. This strategy has consistently delivered for several years now, creating shareholder value through double-digit AOI and free cash flow growth. We believe that the combination of macro trends and our demonstrated ability to execute provide great confidence in our ability to grow the business for many years to come. In 2018, I expect us to further consolidate our global concerts position while enhancing our on-site hospitality business and capturing additional pricing opportunities. On sponsorship business, we will continue driving double-digit growth with more brands looking for that direct connection with music fans, and a more effective Ticketmaster marketplace along with further alignment with artists should continue to build on Ticketmaster's success. With that, I will turn the call over to Joe, to take you through additional details on our fourth quarter, and divisional performance.
Joe Berchtold - Live Nation Entertainment, Inc.: Thanks, Michael. Looking at our business segments, first concerts. As Michael said in 2017, we grew attendance by 21% to a record 86 million fans, once again promoting the vast majority of the top global tours, including six artists who each sold over a 1 million tickets for concerts during the year. Looking at the markets, the North America attendance was up 13% over 54 million fans and show count was up 14%. Internationally, attendance was up 39% and show count is up 11%. Attendance was up across most of our venue types with arenas, stadiums and theaters, and clubs, each growing attendance by over 4 million fans for the year, and with each of these venue type increasing both show count and attendance per show. Only amphitheater attendance, coming off a record 2016 was off slightly as we saw several acts playing stadiums or indoors, last year. Globally, we also continued growing our festival portfolio, adding 12 festivals to give us a global portfolio of 97 festivals in 14 countries. As a result, we increased festival attendance by 14% to over 8 million fans and now have 27 festivals that each attracted over 100,000 fans last year. Looking specifically at the fourth quarter, concerts revenue was up 53%, while AOI was down $12 million, largely due to timing of prepaid marketing spend, which was up $16 million year-on-year. As Michael said, we're optimistic that we will continue growing concerts AOI in 2018, we already have five artists who have sold over 500,000 tickets for shows this year, and show count is looking strong for the amphitheaters and arenas. Plans are also in place for continued growth of on-site spending which we expect to grow another $2 per fan in 2018. Turning to our sponsorship and advertising business, in 2017, our international business, particularly Germany and across Asia, was a large driver of our sponsorship growth, with revenue up 30%, while North America grew 13%. Both sponsorship and online advertising contributed consistently with revenue of 19% and 16% respectively. For the fourth quarter, revenue was up 11% and AOI was up 7%, as we comped against a 2016 fourth quarter that had revenue growth of 22%. Finally, Ticketmaster, global GTV was up 6% for both the quarter and year-to-date driven by GTV, which was up 17% and 15% for the quarter and year respectively. Primary GTV which accounts for over 85% of overall fee-bearing in GTV was up 17% for the quarter and 15% for the full year. Secondary GTV was up 18% for the quarter and up 16% for the full year. We continued our shift to mobile ticketing over the year with mobile ticket sales up 35% accounting for 33% of our ticket sales in 2017, and we also grow our app installed by 37% to 43 million. At the same time, we improved conversion rates across our platforms, up double digits on both mobile and desktop for both primary and secondary tickets. And on margins, as we expected on the last call, adjusted for our legal settlement and legal fees associated with the lawsuit, our AOI margin for the year would have been in the 20% range consistent with 2016. As Michael mentioned, ticket sales through February 2019 were up 5% and we expect Ticketmaster to be deliver mid-single digit ticket growth for the full year. In summary, 2017 was a great year across all our businesses and we expect 2018 to continue the trend. From a phasing standpoint, we expect the majority of our growth to come in Q2 and Q3, particularly as we deliver on our on-site fan spending and sponsorship initiatives. As a result, Q1 AOI looks to be largely in line with 2017 results. On FX, we ended up with a 1% or less impact on AOI and revenue for 2017. And at this point, we don't see more than a 1% to 2 % impact for 2018. I will now turn the call over to Kathy to go through more on our financial results.
Kathy Willard - Live Nation Entertainment, Inc.: Thanks, Joe, and good afternoon, everyone. I will start with our results for the fourth quarter. Revenue increased 42% to $2.5 billion. Concerts contributed the majority of the revenue growth, up 53% with increased arena and stadium activity. Ticketing revenue was up 21% from higher primary and secondary ticket sales. As we had previously announced, in the fourth quarter of 2017, we accrued a $110 million legal settlement in our ticketing segment that reduced our operating income, AOI and net income for the fourth quarter and full year. This resulted in a consolidated AOI loss of $23 million for the quarter, compared to what would have been income of $87 million without the legal settlement. Our operating loss of $202 million in the fourth quarter largely driven by the legal settlement along with a $20 million goodwill impairment in concerts related to our artists services business. Net loss for the quarter was $191 million. The legal settlement and goodwill impairment were the primary drivers of this reduction. However, results were positively impacted by a $56 million income tax benefit, related to the revaluation of deferred tax liabilities as a result of the recent U.S. tax reform. Moving on to our 2017 full-year results. Revenue was $10.3 billion, a 24% increase over 2016. All of our segments, concerts, sponsorship and ticketing delivered double-digit revenue growth in 2017. The majority of our revenue increase was driven by concerts, up 26% from increased show count and attendance globally across arenas, stadiums and theaters and clubs. Ticketing revenue was up 17% from higher global primary ticket volume driven by concerts, and sponsorship and advertising revenue was at 18% from new sponsorship programs and higher online advertising. AOI was $625 million for the 2017 full-year or $735 million without the legal settlement impact. AOI in 2016 was $640 million. Our growth excluding the legal settlement was again across all segments. Concerts AOI was up 24% as a result of increased show count and attendance along with higher ancillary revenue per-fan at our amphitheaters. Sponsorship and advertising AOI grew by 13%, driven by higher sponsorship and online activity. And our ticketing segment grew excluding the litigation settlement from higher primary and secondary sales. Operating income was $91 million, down from the $195 million we reported last year, again driven by the legal settlement and goodwill impairment in 2017. And our net loss for full-year 2017 was $6 million, down $9 million compared to last year. For the full year, we recorded $92 million of accretion of redeemable non-controlling interest from certain acquisition-related put arrangements that impacts the calculation of earnings per share. This amount increased for the projection of third quarter due to finalization of the value of certain puts that were exercised in the quarter. We currently expect accretion of approximately $75 million in total for 2018 based on our current holdings, which will be fairly consistently spread across quarters. Amortization of non-repeatable ticketing contract advances for 2017 was $85 million compared to $86 million in 2016, including the impact of purchase accounting. We currently expect 2018 to be in line with this. Beginning in 2018, as a result of FASB's new standard on revenue recognition, we will now recognize clients' royalties and non-recoupable advances as a reduction to revenue in our ticketing segment, while the remaining revenue streams of the company will not be impacted. We will also have no change in the timing of when we recognize revenue. When we report 2018, we will apply this change to all periods presented for comparability. Overall, the impact of 2017 is a reduction of our total revenue of 6%. It will be no impact to our AOIs or operating incomes as a result of these changes. Full details of the impact to 2017 and 2016 can be found in Note 1 of our 2017 10-K. Turning to our balance sheet, as of December 31, we had total cash of $1.8 billion, including $769 million in ticketing client cash and $608 million in net concert event-related cash, leaving a free cash balance of $448 million. Net cash provided by operating activities was $623 million in 2017, up from $597 million last year due to increased working capital. Free cash flow adjusted was $334 million or 53% of AOIs compared to $368 million or 58% of AOI in 2016. This metric is also impacted by the legal settlement and 2017 would have been $444 million or 60% without that. For the full year, total capital expenditures were $227 million, evenly split between maintenance and revenue generating items. The increase this year was primarily due to technology enhancements in venue and festival improvements. For 2018, we currently expect our total capital expenditures to be approximately $250 million, with about half of this on revenue generating expenditures. Our total net debt as of December 2017 was $2.3 billion with a weighted average cost of 3.9%. And finally, as we look forward to 2018, our deferred revenue for future shows, a key leading indicator for concerts was $816 million at the end of 2017, up 13% compared to the $722 million at the same point last year. Thank you for joining us today, and we will now open the call for questions. Operator?
Operator: Thank you. And we'll take our first question from Brandon Ross with BTIG.
Brandon Ross - BTIG LLC: (20:24) Ticketmaster. One, there's a story out there this afternoon that the Cowboys will take a 15% stake in SeatGeek and opt out of the NFL Ticketmaster deal. I guess SeatGeek also took venues in New Orleans. How do you size them up as a competitive threat there? Then on 2017, just trying to get a sense of what the organic growth would have been had you not had the legal fees associated with the Songkick Settlement. Calculating that it's about 17%, is that accurate? And then finally you've spoken a lot about Verified Fan and raising ticket prices, and we've seen that this summer with a little bit of push back from the fan communities, but how do you see that impacting your financials for the year, specifically those objectives? Thanks.
Joe Berchtold - Live Nation Entertainment, Inc.: Hey, Brandon, it's Joe, I'll take the first two and Michael can take the last one. On the Cowboys, I saw the same article as you did. I guess first of all just looking at the NFL broadly, I think we feel very good about our position with the NFL and the teams, as you know, they're working with us to launch digital ticketing for the first time, any league on a very broad basis. So, we think they're a great partner with that. We're aligned with them on the secondary as their official marketplace, we get all the links from their websites, we get all the season ticketholder inventory posted to our secondary. And then by competing with SeatGeek and others, we think will end up with the vast, vast majority of all of the teams doing their primary ticketing with us. I think, hard to comment on a specific thing, but what I will say is that, what matters to us most in general is what's the business model and what's the scalability of the business model. We spend a lot of time working on how do we make sure we have a very competitive business model, talk a lot about our flywheel and the different pieces of the business model, and as we go into every negotiation, we ask how do we make money? How do we scale this business? And how do we see the overall flywheel for growth? So, when I hear stories as you did about competitors giving substantial portions of their equity to get a contract, to us that would generally imply that it's not very scalable, which gives us more comfort with it. And frankly also sends a message out in the marketplace, I assume if you're the next guy talking to them, you're asking where your big chunk of equity is. So, if anything I think it seems that it makes it harder for them to scale if those reports are true.
Michael Rapino - Live Nation Entertainment, Inc.: Organic growth?
Joe Berchtold - Live Nation Entertainment, Inc.: On the organic growth point, we haven't broken it out exactly, but yes, if you back out the Songkick, generally what we've seen in the past is, is that of our total growth, 75% to 80% of its organic, as you know we're acquisitive with a lot of little tuck-in acquisitions, but 75% to 80% of the growth that you see would be organic. So, it would be in the back out Songkick in the low teens AOI organic growth.
Brandon Ross - BTIG LLC: Okay. And then just on Verified Fan?
Michael Rapino - Live Nation Entertainment, Inc.: Yeah, it's Michael, Brandon, Verified Fan, we're thrilled with our launch. It's a new idea for artists, we're happy in 2017, we had some of the biggest in the world from Springsteen to Taylor, U2 adopt the idea of trying to lock down your ticket directly to your fan at the price you wanted. So, we saw a great success in getting fans, the ticket direct at the price, always still going to be secondary tickets, that wasn't the main goal. Main goal was, can we convince artists that if they start pricing the house right, increasing their P1s, we can then also look at how we can deliver those P1s directly to the fan. And over time, we believe through digital ticketing and technology, the artist and Ticketmaster will continue to be able to deliver tickets directly to registered fans at prices artists believe and agree on, and for us that's the way we make the pie the biggest for both of us. So, we had a lot of artists on Verified Fan and we expect it to grow this year in 2018.
Brandon Ross - BTIG LLC: Thanks very much.
Operator: And we'll take our next question from Amy Yong with Macquarie.
Amy Yong - Macquarie Capital (USA), Inc.: Thank you and good afternoon. Maybe just following up on the ticketing side, but on the other hand, if you can, Michael I guess or Joe if you could comment on Amazon's restructuring I guess in the U.S. and UK, and perhaps what this actually might mean for you in terms of market share on the secondary side, that would be great? And then just a point of clarification, for your ticketing guidance, when you talked about mid-single digit growth, are you referring to revenue or AOI? And what sort of growth assumptions should we be making? Thank you.
Joe Berchtold - Live Nation Entertainment, Inc.: Sure. Amy, this is Joe. On Amazon, frankly we see the same things that you do that they have decided to pull back in the UK and the U.S. for now. I don't know that it was ever as much about secondary. So, we don't see a big share shift there. Most of the foray that they had in the UK seem to be primary related. They're obviously a competitor or player out there that we respect a huge amount and we'll see how it plays out. I think they learned some of the complexities of the business and hard to say what happens next with them. In terms of the ticket guidance, that was about ticket count. So, I don't think we were guiding exactly the revenue and the other pieces yet as you know and Kathy mentioned that will go through revenue recognition changes. So, I think it's a bit premature to get into the revenue side of it.
Amy Yong - Macquarie Capital (USA), Inc.: Got it, okay. That's helpful.
Operator: And we'll take our next question from John Janedis with Jefferies.
John Janedis - Jefferies LLC: Hi, thank you. Two questions for me. One is, in the past you've talked about improving sellout, and I guess in theory the more shows you promote, the harder it is to improve that metric. So, can you talk about what you're seeing from a sellout perspective and to what extent are you seeing incremental success from improvements in data and technology?
Joe Berchtold - Live Nation Entertainment, Inc.: Sure. No problem. So, I wouldn't, John, say so much improved sellouts has reduced the number of unsold tickets for any given show, meaning upon average shows that 25%, 30% of the tickets not sold out, it's every 3 point or 4 point reduction in that, that we can get. That's a big benefit to the artists, big benefit to our overall flywheel strategy. So, we are absolutely seeing continued improvement, we look at it as is, our job is to make sure we're filling the shelves, we're getting people to show up and we're getting people when they show up to convert. So as we talk about all of the elements, each of those improved substantially through 2017 and data was absolutely a big part of it, as we get better and better at targeting with our marketing, targeting better with our search optimization, as well as improving the experience in driving conversion when you are at the mobile sites or on that desktop.
John Janedis - Jefferies LLC: Okay. Thanks, Joe. Maybe separately, just on festivals, can you talk about the incremental increase you're expecting this year that I guess with the scalability on the sponsorship side, are new festivals more profitable than they have been in the past?
Michael Rapino - Live Nation Entertainment, Inc.: It's Michael. It's a pretty broad statement as you know, we have over 90 festivals in varying degrees of sizes and scales and some of them are start-ups and some of them are Lollapaloozas and established, so there is no kind of simple way of looking at, are they growing or more profitable, we look at the ones that either are existing in the main markets we have, we look to build on those and the big ones that you know about the Lollapaloozas, et cetera, are doing fabulous. And then we have a whole host of either start-up or middle ones that we are in the process of growing and maximizing like BottleRock's. So we look at a very portfolio and a market approach to festivals. We'd like to have kind of covered in all areas from start-ups to established with different growth rates.
John Janedis - Jefferies LLC: Thank you.
Operator: We'll take our next question from David Karnovsky with JPMorgan.
David Karnovsky - JPMorgan Securities LLC: Hi. Thank you. You mentioned amp attendance was down slightly in 2017, is there anything to indicate this might be a longer term change or is this mostly just a function of tough comp and the mix of touring acts? And then just as a follow-up, you guided to another $2 per fan growth in on-site spend, can you just discuss some of the drivers of that growth for 2018 relative to last year? Thanks.
Michael Rapino - Live Nation Entertainment, Inc.: Yeah. The amps we're seeing no trend that's relevant in 2017. If we look at 2018, we think we're going to have an increase in 2018 over 2017 and have a strong year in amps. So, we don't look at anything that would worry us, if anything the trend in amps over the last five years has been on the upswing, we're very, very bullish on the amps as a business, we continue to look to expand the amps, acquire new ones, build new ones, invest in them, they're a incredible piece of business line, and we're very bullish on them and we think 2018 will be a great year. As far as on-site spending?
Joe Berchtold - Live Nation Entertainment, Inc.: Yeah. On-site spending, again, we're going to continue to do a lot of what we've been doing, continuing to get more and more granular, which unlocks the next round of sales, so it's continuing to add more points of sale, limiting those volumes for particularly in the middle of the show when you have the intermission, it's focusing on making sure you've got the right product mix at each one of those points of sale, optimizing pricing against your competitive environment, and what you see a price elasticity of demand is, and then it's also continuing to roll out at a bit higher scale, some of our on-site experiences and VIP offerings.
David Karnovsky - JPMorgan Securities LLC: Okay. Thank you.
Operator: We'll take our next question from Jason Bazinet with Citi.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Thanks so much. So, Kathy was kind enough to call out the growth and the deferred revenue side. I don't want to suggest this is a near-term risk, but maybe, if you can talk about the longer term nature of this threat. As I look at the Spotify numbers and Apple in terms of these interactive streaming subscriptions that consumers are lapping up. It seems to be going a long way towards supplanting sort of the demise of physical music sales. Do you get nervous at all about that ultimately crimping the supply side of your business model, meaning the artists just have other ways to make money by just getting a royalty check or a check from their record label as opposed to going on the road and tour?
Michael Rapino - Live Nation Entertainment, Inc.: Hey, Jason, our deferred, Joe will explain you, you have it backwards, it's a good day when our deferred is up.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: No, no. What I'm saying is, the deferred means nothing is eminent, but I'm wondering if you step back, how do we sort of square this growth with these services with the supply side of your business model?
Michael Rapino - Live Nation Entertainment, Inc.: Okay. But just – again to set the facts straight, deferred revenue was up which mean we sold more tickets for shows in 2017 for 2018 shows than we sold in 2016 for 2017 shows. So that would be one of our key leading indicators that we were going to have another year of growth in 2018, I just make sure we got that straight for everybody. But to your point on the ticket supply, the supply, your correlation again would be I think, we would look at it quite differently, I think history says that the artist was very reliant on record deals with $50 million, $60 million, $70 million record deals in the old days.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Okay.
Michael Rapino - Live Nation Entertainment, Inc.: So for many, many years you toured to sell records and records was a high piece of what a superstar income was derived. Over the last 10 years that's dramatically declined obviously and today we're streaming even more successful artist like Drake who maybe the most Spotify-ed streamed artist in the world, is going to make 95% of the money, his income on the road. So, at the end of the day the artists, we're thrilled that streaming is exploding, the more artists -the more consumers around the world that continue to consume music and find out about superstars and discover music is great for us, and the best part is the artist ultimately still looks the road as the ultimate way that he is going to drive most of his income on an annual basis to build his audience and connect with his fans. So, we think it's a great correlation that the business is healthy and the artist has great pipes distribution to spread his art, but ultimately we believe that the trend will continue where being on the road it is very important to his economics.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Okay. So the more Spotify grows, the better it is for you, so you'll (34:36)?
Michael Rapino - Live Nation Entertainment, Inc.: Absolutely.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Okay. Thank you.
Operator: We'll take our next question from John Tinker with Gabelli.
John Tinker - Gabelli & Company: Hi. Thank you. In terms of breaking out your ticketing, and so about 15% of this is from secondary. What would you estimate your share now do you think is in that market? And that this implies that I think you probably have about 300 million, StubHub reports about $1 billion?
Michael Rapino - Live Nation Entertainment, Inc.: Well, it sounds like you've done the math, John?
Joe Berchtold - Live Nation Entertainment, Inc.: Yeah, I think that's for the quarter John, is that your estimates, because I think we talked last year already, we were over $1 billion in GTV, so this year we'd be well over that. I think at this point we're in – somewhere in the 20%s, but as we talk now for some time we're not – we're more obsessed with the Verified Fan and the pricing and really bringing the value on to the primary than we are at the exactness of a secondary share, we want to make sure we've got great product for the consumer, which we have we believe with our integrated inventory. We want to make sure we've got a very effective technology and product for artists and for teams. And we think that over time that helps create the most effective and successful marketplace.
John Tinker - Gabelli & Company: And more of a generic question to Michael, congratulations on your joining the board of Sirius, who with Liberty Sirius of just now trying to basically buy 40% of iHeart in bankruptcy. How do you see Live Nation, is there any involvement with the radio business in anyways, it's that something you spend a lot of money advertising on or is it just another small part of your ecosystem?
Michael Rapino - Live Nation Entertainment, Inc.: You're good, John. You love to tie these together, but I can't give you much on it. Sirius is an interesting board, it was something for me to experience given the Liberty family, but other than it's in the Liberty family it's continually business as usual. On our side, we look at Spotify, and Sirius, and Apple, and all of those platforms as ongoing promotion tools, that we'll use in our business. But today it was just day a Michael Rapino decision to be on the Sirius board to get a little bit of an exposure to a new business model, nothing else to read into it.
John Tinker - Gabelli & Company: And how much money does Live spend on advertising on the radio side, or is it really just not that important now?
Michael Rapino - Live Nation Entertainment, Inc.: Yeah, it's not that important. We don't – we've been spending most of our as we said out loud for the last few years, our conversion in selling more tickets to the concerts has been about direct marketing and online. So we've shifted over the last few years most of our kind of traditional advertising to more online mobile advertising, which has been effective. Not to say iHeartRadio and radio stations around the world aren't still important to the artists especially when they're on cycle and launching a new album or single. So we do spend some money on radio still and it's one piece of the pie, but we shifted most – a majority of our advertising for concerts now is more online and direct.
John Tinker - Gabelli & Company: Thank you.
Operator: We'll take our next question from David Joyce with Evercore.
David Joyce - Evercore Group LLC: Thank you. Two questions please. First is on the ancillary on-site spend, guiding to another $2 increase. How much of your platform currently can use these new initiatives that you've been working on delivering to the seat in the extra kiosks and what have you. I'm just wondering how much more of a rollout you're going to be looking for, and I know you've talked about getting that figure up to about $30 in time? And then secondly on sponsorship and advertising, I was just wondering with the couple of the marketers that you called out, are they incremental to your sponsorship universe or they've been adding to current contracts, and what's going to be – how do we parse out the growth going forward? Thank you.
Joe Berchtold - Live Nation Entertainment, Inc.: Sure. David, this is Joe. I'll take both of these, on the ancillary spend I think you got it right at the end, which is we continue to believe that we get to $30, and that's just the first target we have and then we reassess and go from there. Every year we've got a wide range of initiatives that we're testing in a handful of amps. We've rolled out to a broader set of amps and we have every amp running with, and then we'll do the same this year. So, we'll take some of the stuff that was successful last year and we'll expand it, and we'll be trying some new things this year. But everything that we've seen has shown that we continue to track right where we thought we would be in terms of adding a couple dollars a year and continuing to chug towards that initial target. On the sponsorship and advertising, the brands that we called out are a mix, some of them have been working with us for a while, and are adding new ways that they want to try to reach some of our fans and some of them are new. We've focused you I think on a couple of areas: One is looking for a major sponsors, what's the continued rate of growth of those sponsors, which was way about 20% last year; and then the other is looking at some of our more direct on-site spend and how much does that continue to grow. So, I think those will continue to be the couple of things that we focus you on.
David Joyce - Evercore Group LLC: And I apologize if I missed it, but do have a domestic versus international split for both sponsorship and advertising contribution in 2017?
Michael Rapino - Live Nation Entertainment, Inc.: So I think yeah in my comments what we said is, is that international revenue was up 30% driven by Germany in particular and across Asia for the business and North America grew 13%, and that's both sponsorship and online were up pretty consistently with revenue up 19% in sponsorship and 16% online.
David Joyce - Evercore Group LLC: Okay. Great. Thank you.
Operator: We'll take our next question from Doug Arthur with Huber Research.
Douglas Middleton Arthur - Huber Research Partners LLC: Yeah, thanks. Kathy, a simple question here. In ticketing you – in the fourth quarter you basically reported a breakeven AOI, so the entire charge was in there, so if you back the charge out, is it fair to say that the adjusted AOI would have been $109.8 million, is that fair, without the charge?
Kathy Willard - Live Nation Entertainment, Inc.: Yeah, that's right.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay. So that's actually a pretty strong quarter for ticketing?
Kathy Willard - Live Nation Entertainment, Inc.: Correct.
Douglas Middleton Arthur - Huber Research Partners LLC: On the bottom line and top line. And then secondly, I mean, Joe you cited the pre-marketing expenses of $16 million in the quarter. I know seasonally the fourth quarter is never a great bottom line in the concert business, but I mean you added a hell of a lot of revenues in the quarter and don't have much to show for it on the bottom line. Is there something other? Is it just a mix of shows or the expense of the tours that you were out there? I mean, I'm trying to understand the disconnect there.
Joe Berchtold - Live Nation Entertainment, Inc.: Yeah, and again what I gave you on the marketing was just the incremental year-on-year. So yes, every year is a lot that was just happened to be a big growth Q4 for the marketing that as you know we have to expense. I think the other is just as we continue to get bigger and bigger, right, we're at 86 million fans, 30,000 shows, it was only a few years ago that we were at 50 million fans. So we have grown very rapidly, tremendously. A lot of that growth if you look at it, I think continues to be very Q3, Q4 driven. So that does – as your organization grows, that does put a bit of a cost burden on your slower volume quarters, in your first, in your four, in terms of just their ability to drive revenue relative to their costs, that then disproportionately comes in more in Q2 and Q3.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay, thank you.
Operator: We'll go next to Ryan Sundby with William Blair.
Ryan Ingemar Sundby - William Blair & Co. LLC: Yeah, hey, guys. Thanks for taking my questions. So last call I guess it sounded like to me that the move to digital with NFL was kind of step one, then the hope was that you could get a broader roll out to kind of other major stadiums and arenas in 2018 and 2019. But just kind of hoping to kind of get a refresh on that view, how has the rollout gone so far, and maybe some thoughts or expectations around how many tickets or percentage of tickets you think will be sold digitally this year?
Joe Berchtold - Live Nation Entertainment, Inc.: Yeah, this is Joe. I don't think we've gone out with any specific numbers. So we're probably not going to do that right now. But we'll start to deploy the digital ticketing at our amps this summer and that will be the first real use of them that will go into some of the NFL in the fall, and then really get broader and expand from there in 2019. So, you'll start to see again I think us doing it with ourselves first and then it will be expanding at the NFL level, and then at other specific team levels in other arenas.
Ryan Ingemar Sundby - William Blair & Co. LLC: Okay, got it. And then I guess just following up on the question on SeatGeek, I guess we heard a bit for the New Orleans teams maybe actually come in at a loss there. And while I guess they might make money on the Cowboys deal, I guess like you said it's a tough business giving away equity if that's the cost. So, I guess I understand your comments on scalability, but in the near term does this put pressure on Ticketmaster margins or do you think you partners kind of realize that maybe these terms aren't sustainable longer term?
Michael Rapino - Live Nation Entertainment, Inc.: Yes, it's Michael, we've never had a 100% of the NFL team. So, historically, there's always competitors that are TicketsNow and Axxess and other guys who've been at the table when these teams are up. So, SeatGeek's the latest we expected that as others. We knew that when we secure the overall relationship with the NFL that the competitors would then use those funds they didn't use to win kind of the national deal to go local, that's the usual model. We believe in the end, we're going to continue having close to the 31 teams, we'll lose two or three as we historically have done. And we expected SeatGeek or our competitors to be there at the table with the teams as they're up. We've renewed what we needed to renew in 2017 and we're on course on 2018 for renewal. So, I just would say not trying to discredit or competitors, they're always there, they've always been there, there's always a competitor at a sports teams door looking to challenge, and we don't see that any different this year than we have historically. And a competitor like SeatGeek is probably going to overpay, take some lost leaders to build their business. We just again, I think, Joe's point was, we look to both the New Orleans deal and the Cowboys deal, we know exactly what they were offered. You wouldn't want us to win that deal. We don't believe that it's a sustainable model, what that they can offer that to 30 teams, you only have so many pieces of equity. So, we expected them to be strong on a couple of teams or three, and we expect to win the majority as we have in business as usual. We're very, very happy about our overall NFL deal, because we redefine that deal to be much more in our favor going forward on how we can actually drive our secondary business. So, overall we're thrilled with the overall relationship of the NFL economics for Ticketmaster both the league and the teams and didn't see anything new that we don't see or haven't seen historically with the competitive bidding process of the ticketiness.
Ryan Ingemar Sundby - William Blair & Co. LLC: Got it. Thanks for the color.
Operator: Ladies and gentlemen, this does conclude today's conference. We appreciate your participation. You may disconnect at this time.